Operator: Hello, and welcome to LumiraDx First Quarter 2022 Earnings Call. All participants will be in the listen-only mode. [Operator Instructions] I would now like to turn the conference over to Colleen McMillen, Vice President of Communications. Please go ahead, ma’am.
Colleen McMillen: Hello, everyone. We’d like to welcome you to today’s call to discuss LumiraDx’s first quarter 2022 financial results issued earlier today. With us are LumiraDx’s Chairman and CEO; Ron Zwanziger; Chief Financial Officer, Dorian LeBlanc; and Chief Product Officer, Pooja Pathak. The press release announcing our financial results is posted on the Investor Relations section of the company’s website at LumiraDx.com. Before we begin, I would like to caution listeners that statements we make today other than historical facts, are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please be aware that all such forward-looking statements involve risks and uncertainties and such as those detailed in our annual report on Form 20-F for the year ended December 31, 2021, which was filed with the SEC on April 13, 2022, and other filings that we make with the SEC. Any forward-looking statements that we make must be considered in light of these factors. Actual results may vary materially. Also, during the course of today’s call, we may refer to certain non-IFRS financial measures. Non-IFRS financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with IFRS. There is a reconciliation schedule showing the IFRS versus non-IFRS results currently available in our press release issued earlier today, which can be found on our website. I will now turn the call over to Ron Zwanziger for opening remarks. We will then provide financial and business updates before answering questions. Ron?
Ron Zwanziger: Thanks, Colleen, and thank you all for joining our call today. Our company had a strong start to the year. We’ve continued to innovate on our platform to deliver the fastest test results on the market with lab comparable performance. As anticipated, we ended the quarter with approximately 25,000 instruments shipped across 100 countries. Customer receptivity continues to drive market adoption and use cases for our platform in health systems and community-based settings. We’ve also gained momentum with our R&D pipeline and product launches of assays for common health conditions. We believe that this progress will enable us to drive strong growth of non-COVID revenues in the medium term and deliver on our vision of transforming the $15 billion addressable market for point of care diagnostics. Turning to our financial results. We generated $126 million in revenues for the first quarter. The performance was driven by strong demand for rapid antigen COVID testing on our platform as well as molecular lab testing by Fast Lab Solutions customers. This was especially the case in January at the height of the Omicron variant surge in cases. We’re making progress in our pipeline of the 30-plus diagnostic tests for common health conditions, including infectious diseases, cardiovascular disease, diabetes, and coagulation disorders. On the product delivery side, we’ve gained momentum with our R&D portfolio with new product launches expected such as hemoglobin A1c plan to starting this summer as well as additional claims with end markets for CRP, D-Dimer, COVID Ultra and our [ph] COVID and flu combo. I would like to take a moment to highlight our new Ultra test trip for which we plan to achieve CE Mark for shortly and summit for the FDA EUA in this quarter and which will further reduce our market-leading turnaround time to five minutes to test results with high sensitivity. Speed and accuracy of test results are core to LumiraDx with transformative potential and competitive advantage in point of care diagnostics. Five minutes compared to 15 minutes to 30 minutes from most other point of care diagnostic tests on the market and hours or even phase for high sensitivity lab testing. The time saved in diagnosis could mean lives for acute care patients and result in significant increase in throughput for hospitals, pharmacy change, and other locations with high testing volumes. On the commercial side, we’ve had the opportunity to work more closely with customers to understand their overall platform experience and enhance its potential impact. That includes positive feedback on recently launched tests such as D-Dimer and CRP in addition to insights on how our platform can help our customers improve clinical pathways now and additional features and products that will help them expand point of care applications in the future. Our customer success story should give you a sense of the growing validation by health care providers and resulting market adoption and use cases for our platform. Let me share three such examples with you. One, such example on the flexibility of our platform is in the Liverpool Heart and Chest Hospital. The customer is using our CRP test to support patients who have a diagnosis of COPD, bronchiectasis, and pneumonia, pneumonia as part of their community care. Their respiratory team visits patients in the community, and they are able to measure CRP at the point of care when needed within four minutes. The platform, the LumiraDx Platform, portability has been ideal for this near-patient use case and has the connectivity features that allow transfer of patient results to their health records. On our last call, we discussed the experience of the Gloucestershire England Health system using our platform to triage patients in community care settings before they arrive at the hospital and to support a number of tests, including COVID antigen D-Dimer, CRP to streamline resources. Recently, they have tripled their installed base of LumiraDx Platform and are planning to implement INR and hemoglobin A1c test later this year. Finally, for those of you who have not already watched Bill Gates recent Ted talk at TED2022 in April, LumiraDx Platform featured in its talk on preventing the next pandemic. As you know, the foundation has partnered with LumiraDx to distribute 5,000 platforms in African countries to vastly expand testing and transform patient diagnosis and treatment at the point of care. We have now made our platform available in 49 countries in Africa in a variety of care settings such as fuel clinics, airports, primary health facilities, occupation and health settings, and walk-through clinics. In addition to our current testing menu, we expect that assays in our R&D pipeline for TB, diabetes, HIV/AIDS and other health conditions will have a meaningful impact on global health. I will now hand things over to Dorian to go deeper into our financial performance. Dorian?
Dorian LeBlanc: Thanks, Ron. For the first three months of 2022, LumiraDx revenue was $126.4 million compared to $106.9 million for the first quarter of 2021. COVID antigen test strips on the LumiraDx Platform contributed $77.5 million and Fast Lab Solutions delivered revenue of $38.3 million in the quarter. Q1 revenues for COVID-related products were substantial in January during the height of the Omicron wave. Total gross margins for the first quarter of 2022 were 40% compared to 41% in Q1 last year. The 4,000 instruments shipped in this quarter were primarily delivered free of charge for the required customer purchases of the minimum number of test strips. Costs for these instruments, which were largely placed with new U.S. customers were recognized as a period cost fully within the quarter and the impact of these costs decreased reported gross margins by more than 11 percentage points. We remain focused on continuing to grow our instrument placements with these high-quality, long-term point of care customers capable of utilizing our existing and future test menu. Overall core test strip margins in the quarter continued to exceed our long-term guidance. Adjusted research and development costs, which exclude amortization and stock-based compensation, were $39.8 million in the first quarter. This represents an increase of 53% of the first quarter in 2021. R&D spend has increased with the opening of our new R&D center in Glasgow and more recently to support the imminent launch of several new tests. First quarter 2022 sales, marketing and administrative expenses were essentially flat to Q4 2021. The adjusted operating loss for Q1 2022 was $22.9 million and the adjusted net loss for the period was $32.1 million or $0.13 per share. The unadjusted net loss of $55.7 million in Q1 2022 included approximately $20 million of unrealized foreign exchange losses related to the accounting for intercompany loan transactions with no consolidated cash impacts to the company. Our cash balance on March 31, 2022, was $166 million. As we previously announced in April, we entered a new financing agreement to provide working capital to fund additional instrument manufacturing. We announced the first closing of $26.1 million and anticipate closing the maximum $50 million in aggregate investment before the end of this quarter. Given the strong interest in learning more about LumiraDx, we are pleased to announce an Investor Day on the morning of June 21 in New York City. Further details will be announced in the coming weeks, and we look forward to the opportunity to cover some key topics around our technology and pipeline in more detail. Ahead of our Investor Day, Pooja will provide a short update on our recent progress. Pooja?
Pooja Pathak: Thanks, Dorian. As Ron mentioned, we’re really excited about the new Ultra test strip design that allows for faster reaction times and greater precision to deliver high sensitivity antigen test results in five minutes. Our first product in this category is COVID Ultra [ph], for which we plan to achieve CE Mark shortly and submit an FDA EUA in Q2. COVID Ultra as a product enables our current customers and the rest of the point of care market to move from results in 15 minutes to 30 minutes to five minutes. This significant improvement in turnaround time has a huge impact to patient workflow. For example, the pharmacy test and treat program where individuals are waiting for test results to get their prescription. As overall testing declines, we believe COVID Ultra will compete effectively and enduring health system testing use cases. Second, developing Ultra as the product line has the opportunity to move the entire respiratory market to fast and high-sensitivity antigen testing, including fully [indiscernible]. Finally, the innovation of the Ultra test strip design has made important contributions to the development of assays such as high-sensitivity troponin used to aid [ph] physicians in the early detection and rule-out of acute myocardial infarction. We also have a number of new developments in our overall pipeline. First, our primary care offering is progressing well. For our CRP test in Europe, we recently expanded the intended use to include testing in children over the age of two, offering this test on the same platform as COVID, flu, and RSV aid physicians to quickly and accurately diagnose as well as treat respiratory conditions in children at the point of care. Our portfolio of rapid CRP and pathogen-specific assays on one platform offers a strong antimicrobial stewardship toolkit for primary care, where the focus on reducing unnecessary antimicrobial prescribing is growing. For example, studies have shown that at least 20% of antibiotics prescribed in Primary Care in England are inappropriate. The LumiraDx Platform is well-positioned to enable rapid testing to aid physicians in assessment of their treatment decisions and reduce unnecessary prescribing in both adults and children. The launch of additional respiratory assays outside of COVID-19 meets the growing demand for point of care diagnostics and primary care across Europe as we move to a post-pandemic world where traditional respiratory viruses will co-circulate with COVID-19 and rapid testing and differentiation will be required. This summer, we expect to also launch our hemoglobin A1C test in Europe for monitoring diabetes patients from a finger stick sample, which results in approximately six minutes. HbA1c is a large and high-growth test in the point of care market, and we’re already seeing the potential impact of this addition with some of our customers. For example, one of our pharmacy customers with a 200-plus installed base currently used for COVID testing is keen to start offering HbA1c due to the rising number of patients with diabetes. With the addition of HbA1C to the test menu, we offer on the LumiraDx Platform, a majority of the currently used assays at point of care in primary care and pharmacy across Europe. For our customers, it will enable the consolidation of three instruments to a single connected platform and workflow. Moving to the acute or hospital segment. Our initial focus is in cardiac testing. For our D-Dimer test, we have ongoing a prospective study in the UK and Germany, Hamburg to support use in ruling out venous thromboembolism, or VTE. Interim analysis based on 278 symptomatic patients presenting in emergency department and ambulatory clinic setting, demonstrated that the LumiraDx D-Dimer test has a strong correlation with the laboratory reference method and also has 100% negative predictive value at the 500 micrograms per liter cut-off when used in combination with a pretest probability score. To our knowledge, this is the first study to prospectively demonstrate the use of a quantitative finger stick D-Dimer test at point of care to rule out VTE in symptomatic patients, which has the opportunity to significantly improve primary care assessment by physicians of DVT and also potentially reduce the time of the patient hospital visits as well as follow-up testing and scan. The point of study D-Dimer test has potential to improve the clinical, operational and cost outcomes for the VTE pathway. Our NT-proBNP and high-sensitivity troponin tests are in development and are progressing well. We will provide further updates during next month’s investor meeting Dorian just mentioned. Continuing with updates on the respiratory portfolio, the COVID and flu combination test was launched commercially in Europe in January, although volumes have been low due to low flu prevalence this season. As previously communicated, the FDA did not authorize an EUA based on the retrospective data that comprise of banked flu samples from the 2019 to 2020 season that we submitted last fall. We commenced a new clinical study at the beginning of this year to provide additional prospective Flu A/B data and plan to submit an updated FDA EUA in the second half of this year. The COVID and RSV combination test is in late-stage development, and we expect to CE mark shortly. We are still planning to submit 510(k) applications for COVID Ultra, HbA1c, INR, and Strep A molecular by end of year. Flu and RSV test will be offered in combination with COVID under EUA and will transition to 510(k) single assays on the Ultra product line as development work and verification and validation studies are completed. With that, we would be happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions] And the first question comes from Vijay Kumar with Evercore ISI.
Vijay Kumar: Hi, thanks for taking my question and congrats on the quarter. Maybe a couple on the revenue side here. One, the – can you – there’s been a lot of debate on what is base revenues? What is ex code, but I suspect many of us are turning around to these point of care antigen-based solutions as perhaps having a longer tail. Have you guys given any thoughts on what is the endemic revenue opportunity when you either think about the combo test or standalone? How should we think about what is also more sustainable revenue base here on the COVID front? And related to that the COVID Ultra that you just announced, is that the – is that an antigen test? Or is that a PCR test when you say five minutes turn around versus the prior 15 minutes to 20 minutes?
Ron Zwanziger: Well, dealing with the second. It is a five-minute antigen test. It had – we expect the performance to be outstanding. And so very much in the same way that our customers that we have increasingly been switching from PCR systems in many use cases over to us. We expect that transition will transition even faster. And we’ve already discussed the product with quite a range of customers. And it’s an understatement to say they can’t wait to get the test because of the impact it has on the workflow and how it can be helpful in greater efficiencies in medical facilities, whether it’s emergency rooms or doctors’ offices. And also the other locations where you’re looking to get throughput and obviously a five-minute test, which actually performs very well and comment PCR performance in the state, in the equivalent PCR state when someone’s infectious is obviously incredibly valuable. So, we expect very significant demand and also the Ultra – that product should also enable us to gain share linking to your first part of your question, which is what is the base and how to think about it? Well, frankly, if we knew we’d tell you, but it’s very hard to think that through. We get a lot of input from customers, and it’s hard – and it’s sort of hard to tell. And we can see various use cases moving up and down. So it’s still pretty hard to tell. And it’s obviously also hard to tell the impact of combination tests, whether it’s Flu A/B or whether it includes the RSV and so on. So it’s very hard to tell. But we think – at the moment, if we had to guess, and frankly, it is a guess, it will probably be – the baseload will probably be higher than our recent average flu seasons. So it will probably be higher. Our guess is it will probably be higher than that. It’s a bit hard to give a better estimate based on recent data. So the falloff that we’ve seen at the moment and the fact that revenues aren’t continuing, it’s hard to read that into a conclusion around the future base because it might – a lot of it might still be sorting out what’s happening at the moment and the pandemic. So it may not be an indication of the base. So I’m afraid, I haven’t answered your first part of the question, other than to say it’s probably going to be higher than on an annual basis than current sales of flu.
Vijay Kumar: And that’s a fair response, Ron. It’s hard. Just at the pandemic, how it’s played out. It’s been hard to figure out; there are different twists and turns. But maybe another way to come back at the base business kind of question. I think Pooja mentioned the D-Dimer 100% negative predictive value. When you say that was a prospective study, was this a case-controlled study or frankly, we’ve never looked at these kinds of tests. So I don’t know what these numbers mean when you say 100% negative predict value. Maybe put that into context for us how – what do these numbers mean? What has been your customer reaction? Similarly, I think HbA1c when you said a pharmacy customers now adopting A1c, it looks like there is some momentum building for other non-COVID tests, so maybe talk about it a bit.
Ron Zwanziger: Pooja, do you want to answer the question on D-Dimer.
Pooja Pathak: Sure. Yes. So for the D-Dimer, first just to explain at a high level of the study, the 100% -- so this was a study and it will probably enroll over 1,000 patients over time. We’re at the interim mark right now. So this is following enrolling individuals that present with VTE-like symptoms such as swollen leg for example. And they are tested with D-Dimer, and then they are also then based on their clinical symptoms and other standard of care, which usually combines a pre probability test, so typically a well score, so there could be scanning. So they’re clinically diagnosed to have AVTE. And so the 100% rule out refers to the fact that the D-Dimer test used with that pre probability score had a 100% correlation with the negative clinical decision. So the way this adds value in a clinical setting or a primary care setting, and there have been a number of studies that have been published that D-Dimer is the number one, one of the top tests requested in a primary care setting. And the reason is that they because these individuals have – can add a lot of cost and there’s a lot of downside to having a VTE. So being able to quickly triage and rule out a VTE versus a lot of other nonspecific symptoms that the patient can have – has a lot of clinical value and also a lot of cost savings to the system in terms of reducing the number of patients that need to show up in the ED. I would say it’s newer and I think we referred to that. This is some of the first work that we’ve done in defining. So D-Dimer is relatively underpenetrated in primary care. It has done a lot more in emergency departments, but we do see that as an opportunity to build clinical value.
Ron Zwanziger: Just to add to that, Vijay. One major area in Europe had tried on various occasions to use D-Dimer rapid tests in the community and physician – the community-based physicians very much wanted it, but they threw in the towel and went back to the very laborious way of relying on lab testing because they couldn’t find any reliable test for D-Dimer that could be used in the community setting, and they are absolutely thrilled with our product. So that’s very typical and we expect to see an awful lot of that in the future.
Vijay Kumar: That’s helpful perspective, Ron. If I may squeeze just of one more question for Dorian, looks at Q1 cash burn was about $30 million – looking at your cash position right now, clearly, that’s been a concern in the market Dorian with sub Q1 gross margins come in a bit, maybe talk about your spend levels, margin progression and what it means to cash burn.
Dorian LeBlanc: Sure. And I think you know that the cash used in operations was fairly light in the quarter given the strength early in the quarter with revenue from the Omicron peak. And we’ve discussed before just the fact that our overall CapEx spend is coming down since most of the investment was made in 2021, and we just have the tail end of some of those obligations. So we do think that overall, the cash burn is slowing. It slowed operationally this quarter, and it’s slowing on the CapEx side. On the margin side, obviously, that’s impacted by placing the instruments, but we have a very strong instrument inventory. And I’m sure you’ll see to see the balance sheet that we still have a strong inventory position and over half of that inventory is instrument and instrument components. So our requirement to continue to finance inventory build is behind us as well, largely. So I think we have some opportunity to see better cash utilization in the coming quarters on the working capital side. But we’re going to continue to fund the business for growth, as we’ve said previously.
Vijay Kumar: That Q1 free cash flow of $11 million, $12 million, is that a sustainable number going forward, Dorian? Or do you see that sort of stepping up?
Dorian LeBlanc: Sorry, that the overall free cash flow number of $11 million?
Vijay Kumar: Yes, I think around 12... Yes.
Dorian LeBlanc: Yes. So we used $2 million in operating, but that’s based on the large revenue early in the quarter. So I do expect as we see case counts coming down on COVID that we will see less contribution from revenue, and we will see a higher cash burn in the second quarter.
Vijay Kumar: Understood. Thanks guys.
Ron Zwanziger: Vijay, before you go away, since obviously, what’s in your mind from asking the question was about cash usage in general? I mean we did a financing this quarter specifically to minimize dilution, and we’re going to be careful for the rest of the year. But it’s quite possible that we’ll raise money later this year or early next year. And again, we’re going to be very careful because we want to minimize. If we do that, we’re going to want to be careful about doing it because we’ll want to minimize by dilution. Well, obviously want to minimize dilution. And we certainly don’t want to slow our momentum because we’ve got a slew of new tests coming through to fill out our pipeline.
Vijay Kumar: Understood, Ron.
Operator: Very good. Thank you. And the next question comes from Jeffrey Cohen with Ladenburg Thalmann.
Jeffrey Cohen: Hi, Ron, Dorian, Pooja, how are you?
Ron Zwanziger: Good. How are you?
Jeffrey Cohen: A couple of questions from our end. So could you talk a little bit further about the Ultra test? And is that specifically or only for COVID antigen and walk us through a little bit about any logistical difference on the manufacturing front and the throughput lines from the manufacturing and perhaps some throughput and cost and margins, et cetera.
Ron Zwanziger: Well, so the beauty of Ultra test is they – regardless of the configuration they’re all made on the same equipment. And that’s obviously consistent with the Ultra. And so what we’ve done with the Ultra is played around with some of the geometry and we’ve ended up being able, by doing that, to drastically reduce the time of the test while maintaining the performance, which is key to our platform. We wouldn’t obviously compromise the performance. And so the point that Pooja was making is that the COVID antigen is one way to look at that and to think about it is that it covers the whole respiratory side of the business because the – you can then expect to see that kind of a performance on Flu A, on Flu B, on RSV and the implication is of this is that we can now expect to have this sort of a performance in five minutes. And we’re already making – and we already have tremendous success on the COVID antigen against PCR. And so we’re aiming to convert the substantial portion of the market to the five minute COVID antigen test because in reality, why should customers, who are trying to process and deal with patients in busy settings, why would they work with other tests when they can use this kind of performance in five minutes. So the COVID Ultra strip gives us tremendous competitive advantages.
Jeffrey Cohen: Okay. Got it. And then as Dorian was speaking about the gross margins earlier, could you talk a little bit about that as far as outlook in the future and also tie that in with some of the funding for the instrumentation and perhaps run any commentary on in the short term and medium-term? What’s the right number of instruments that you’d like to have out there, at least in the short and medium-term? Thanks.
Ron Zwanziger: Well, instruments – just answering the question on the instruments. The – in the feedback we’re getting from customers around the A1c introduction and around the pickup and the level and the quality of the discussions around CRP and D-Dimer suggests that in the second half of the year, we should have a pretty good pickup in instrument placements, just from these products alone, never mind the others that we’ve already mentioned and others are coming as well. So we should see a pickup in instrument placement in the second half of the – in the second half of the year. And what was your question about gross margins?
Jeffrey Cohen: I suppose it more for Dorian to think about manufacturing margins and instruments, manufacturing and inventory. How might that play out for the balance of this year?
Dorian LeBlanc: So the focus that we continue to have on gross margins is really continuing to drive high gross margins on the consumables. And in the quarter as in the previous couple of quarters, as the manufacturing process has matured, we continue to exceed the long-term guidance on the gross margin on the testers themselves. And that’s really what drives the largest value for the company on a go-forward basis. The accounting for instrument placements running through the P&L as a period cost in other competitors in the space, you’ll often see those get capitalized to the balance sheet and taken over three and five year periods. As we move to more of the bread and butter point-of-care test like A1c and INR and CRP, where customers can commit contractually to volumes over a period of time, then the proper accounting we place those instruments is to do something similar and take that expense over a period of time. What we’ve done up till now in the COVID environment is to just take the full burden of those expenses in one quarter, which is why we wanted to call it out for you in the prepared remarks. So if that is having a negative impact on the margin. But what’s really important for us is the margin on our disposables and those continue to trend exactly as we expect and very high.
Jeffrey Cohen: Okay. Got it. And then lastly for us or real briefly. Was there any commentary on Amira for the quarter? Anything to call out there?
Dorian LeBlanc: Anything to call out on the Amira, did you say?
Jeffrey Cohen: Yes.
Dorian LeBlanc: Yes. Well, we’re hoping to get a CE Mark relatively shortly for, we’re hoping to do that. And we’re also expecting to relatively shortly also file an EUA on it.
Jeffrey Cohen: Got it. Thanks for taking our questions.
Operator: Thank you. And the last question comes from Andrew Cooper with Raymond James.
Andrew Cooper: Hi, guys. Thanks for the questions here. Maybe to start, I just thinking about the instrument dynamics. If we think back a while ago, I think the thought was maybe there’d be a bigger mix of kind of purchase instruments and not placing all of them at no charge, which is what it seems like you did this quarter. So I just want to get a sense for has the long-term view of what the structure looks like, changed at all? Should we expect to transition back to sort of a mix of structures for the instrument placements? Just how do we think about that?
Dorian LeBlanc: No, Andrew, it’s really just a reflection of geography. I think you see that in some geographies, instruments are purchased and in some geographies, the reagent rental model is more prevalent – and so since the lion’s share of the instruments that we placed in the first quarter were with U.S. customers, that’s typically a no capital expenditure market. So you typically do that with the reagent rental model with a contractual obligation or in our case, we just had an upfront purchase that went alongside getting the free instrument. So just more of a reflection of geographic mix.
Andrew Cooper: Okay, helpful.
Dorian LeBlanc: And we did say when we started shipping originally early in the pandemic that this was the exception that we were charging for 7% to 8% to 80% of the instruments, but the reality because of COVID antigen because everybody needed the instruments. But on an immediate basis – but the reality is that the market, in general, is 70% to 80% the other way. I mean, there are a few countries, Japan being an example where you do sell the product. But for the vast majority of geographies, it’s – they’ve placed free of charge alongside orders for the strips and that’s to the tune of 70% or probably close to 80%. So that really is the long term.
Andrew Cooper: Okay. Helpful. Maybe just a quick one on the pipeline as well. I think at the last update, you had also referenced sodium and potassium coming – are being submitted, I should say, in 2022. I don’t think I caught those to when Pooja was running through sort of the pipeline. So I just want to see if those are on track. And then is Ultra something that could be ported to the Amira platform as well in terms of that new geometry you talked about? Because I think to some degree, screening to the degree we do it seems like the single place where maybe speed could be the biggest advantage. So just would love to know kind of whether that’s something that’s potentially affordable as well.
Ron Zwanziger: Well, actually, some of the features of – in the COVID-Ultra came from Amira, actually. So it’s – there are some similarities already. So it’s a very good – that’s a very, very, very good observation. On sodium and potassium, we didn’t give an update, but actually, I think they’re on track. Pooja, do you want to comment?
Pooja Pathak: Yes. No, they’re on track. We just didn’t have an update, Andrew, so we haven’t shared anything on, but we can add that to the agenda in next month’s call. Remember... [Technical Difficulty]
Andrew Cooper: Go ahead, Ron.
Ron Zwanziger: You did notice we said we were going to talk about additional products in June on this Investor Day, and we’ll certainly cover sodium and potassium then...
Andrew Cooper: Great. Yes, looking forward to the event. Maybe just one last one on sort of the expenses in the quarter in terms of R&D and SG&A, how should we think about these as sort of run rates building through the rest of the year? Any framework you can give us? Obviously, there are some one-time things that are in the quarter. But I don’t know, any color may be Dorian that you could add?
Dorian LeBlanc: Yes. I think you’ve seen the SG&A expenses level off from the investments that we made in the commercial infrastructure to support the COVID customer base. And I don’t think we’ll anticipate those changing in the next couple of quarters. Obviously, as we get to the launch of the new suite of products, we may choose to make investment there. R&D, we have seen an increase with R&D and really that is to support the imminent launch of the next set of products that Pooja covered in the update. And so we think that will likely carry through here into the second quarter, and we’ll continue to invest on the pipeline.
Andrew Cooper: Great. I’ll stop there. Thanks for the questions.
Operator: Thank you. And that does conclude the question-and-answer session. I would like to turn the floor to Ron Zwanziger for any closing comments.
Ron Zwanziger: Thanks very much. What I’d like to do is to just reinforce the progress and the acceleration of the rollout of our platform and the pipeline of product as the readiness to come to market in the coming quarters, the capability of the platform, which has been proven, allows for an increased rate of launching of new tests and represents the next leg of our journey to transform point of care diagnostics. I mean, frankly, we’re really on a role at the moment in terms of new product introductions. The traction we are gaining with our technology, the diagnostic menu with customers are helping us to achieve our strategic objectives to drive revenue growth, well into the future. We’d like to thank you again for your questions and for joining the call today. Thanks very much.
Operator: Thank you. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.